Operator: Hello. And welcome to the Gjensidige’s Q1 2025 Results Presentation. My name is Laura, and I will be a coordinator for today’s event. Please note this call is being recorded and for the duration of the call your lines will be on listen-only mode. However, you will have the opportunity to ask questions at the end of the call. [Operator Instructions] I will now hand you over to your host, Mitra Negård, Head of Investor Relations, to begin today’s conference. Thank you.
Mitra Negård: Thank you. Hi, everyone. And welcome to this first quarter presentation of Gjensidige. My name is Mitra Negård and I’m Head of Investor Relations. As always, we will start with our CEO, Geir Holmgren, who will give you the highlights of the quarter, followed by our CFO, Jostein Amdal, who will run through the numbers in further detail. And we have plenty of time for a Q&A after that. Geir, please.
Geir Holmgren: Thank you, Mitra, and good morning, everyone. We are navigating uncertain times characterized by heightened geopolitical tension, significant macroeconomic uncertainty and considerable market turmoil. We anticipate that these challenges will persist for some time, and in light of this, it is more crucial than ever to focus on keeping the customers’ trust, effective risk management and prudent financial risk-taking. We will continue to closely monitor developments in drivers or claims expenses and respond swiftly to emerging changes. Our strong capital position places us in a favorable position to withstand further turbulence in the capital markets. So, let us move on to comments on our first quarter results on Page 2. I’m very pleased to see that our strong efforts to improve the results are gradually coming through. The profit before tax was NOK1,7190 million. The general insurance service result was NOK1,3140 million, significantly up year-on-year. Insurance revenue increased by more than 10%. The combined ratio declined to 86.9%, reflecting improvements in both the loss and cost ratios. It is very encouraging to see that the underlying profitability improved by 3.7 percentage points when adjusting for weather adverse developments in claims and provisions in the first quarter last year. Large losses were somewhat higher than our quarterly estimate this year, amongst others driven by one large fire loss in Norway. Our investment generated returns of NOK503 million, contributing to delivering a solid return on equity of 22.2%. Jostein will revert with more detailed comments on the results for the quarter. A few words about Property Insurance on Page 3. I’m very pleased to see high profitability for Private Property this quarter, also when adjusting for the more favorable weather conditions. This is thanks to the successful implementation of targeted pricing measures, which I have put through over the past quarters. Although claims for Property Insurance are highly volatile, we see a promising development in underlying profitability for this product line. Let me take you through some of the drivers this quarter. Claims frequency was significantly lower this year compared to last year. Claims inflation has developed as expected and we currently expect it to increase in the range of 4% to 6% for the next 12 months to 18 months. The ongoing international trade disputes and tariff threats are creating significant uncertainty. This applies both for Property and Motor. We are monitoring the situation closely. Average premiums increased by almost 13% during the past year. Our current rate of increase is just about 70%. These are necessary pricing increases, but having this in mind, it is particularly encouraging to see that our customers remain loyal to us and that we continue to attract more customers. So over to page four and a few words on Motor Insurance in Norway. Thanks to the affecting pricing measures, we have seen profitable moving in the right direction for this important product in our portfolio. After several quarters with deteriorating margins, profitability was stable this quarter, also when adjusting for weather and the adverse developments in claims occurred in the fourth -- first quarter last year. We will continue to raise prices until we reach satisfactory profitability. So, moving over to drivers, this quarter we can see that the increase in online claims frequency appears to be gradually abating. This quarter it was up 1.5%. Other prices reflect continuing moderate increases in the claims frequency. Claims inflation increased just over 5% this quarter, which is within our expected range. We expect the repair cost to increase by about 4% to 7% over the next 12 months to 18 months. And as mentioned, we are monitoring the situation very closely and we will respond swiftly upon changes in our assumptions. The more benign weather conditions this quarter resulted in less costly losses. The claims mix varies depending on weather, driving behavior and the mix of types of cars in our portfolio. We continue to put through price increases. Average premiums rose by more than 17% during the past 12 months. The current average rate of increase is more than 19%. And I am very happy to see that we are able to put through these significant and necessary price increases and maintain our high customer loyalty. So, moving on to Page 5. The strong growth momentum for Private continued in the first quarter, retention in Norway remained at a high level and we increased the number of our customers. Our strong position combined with our predictive models and targeted differentiated pricing have ensured that we have kept the best customers in Norway and improved online profitability. We observed that the churn is twice as high for customers in the weakest customer scoring group compared to the best one. Growth in Private in Denmark was also strong and customer retention improved. However, I am not satisfied with the results yet. We will continue to implement pricing measures, as well as improve risk selection, claims handling, distribution efficiency, and overall, cost efficiency. Our Commercial business in Norway and Denmark continued to show good growth this quarter. Customer retention remained high in Norway, while in Denmark it declined due to pricing measures. The growth in revenues in Norway was somewhat muted, reflecting our prioritization over profitability over growth. Thanks to our underwriting expertise and our strong market position, we continue to improve the quality in our Norwegian Commercial portfolio, reflected in the improved margins for our Norwegian Commercial business. As you can see on the slide, retained customers had 22 percentage points better loss ratio over the past 36 months than customers that have left us during the past 12 months. Commercial in Denmark showed weaker profitability this quarter, although this is partly explained by natural inherent volatility. We will maintain a strong focus on enhancing operational efficiency and raising prices to ensure good results. Sweden is progressing well, with results showing the benefits of a further digitalization, automation and improved CRM. Moving on to Page 6 and a few words about our acquisition of Buysure. The acquisition broadens our footprint in the market for change of ownership insurance product through a wide range of real estate agents. Home seller insurance fits well into our offerings for customers’ home journey by protecting them at key touch points, from preparing to sell, navigating the sale and moving out to transitioning into new insurance products for the next home. It complements existing products, ensuring that the seller is comprehensively recovered throughout the entire process. In addition to revenues from this growing market, we see very interesting opportunities for cross-selling other insurance products in the incident. Over to Page 7. We continue to follow up on our strong sustainability ambitions. We have a number of innovative initiatives, as you can see on this slide. The initiatives will create great customer value and reduce claims cost over time. So, with that, I will leave the floor to Jostein to present the first quarter results in more detail.
Jostein Amdal: Thank you, Geir, and good morning, everybody. I will start on Page 9. As Geir mentioned, we delivered a profit before tax of NOK1,719 million in the first quarter. The insurance service result increased significantly to NOK1,314 million, driven by continuous strong topline growth and a lower loss ratio. A further decrease in the cost ratio also contributed to higher results. I am very pleased to see the improvement in underlying profitability in Norway and Sweden. The development for Commercial in Norway, driven by Property, Marine, Motor and Health Insurance, is particularly encouraging. The improvement for Private in Norway was driven by Property and Travel Insurance, while in Sweden it was Property and Private Health Insurance that drove the development. We expect the positive impact from the ongoing pricing measures to gradually improve profitability as premiums are earned. The results in both the Commercial and Private portfolios in Denmark declined this quarter. Property Insurance was the main driver of the decline in the Commercial portfolio. While Accident and Health, Motor and Travel Insurance were the drivers behind the deterioration in the Private portfolio. Commercial business is generally more volatile due to the composition of products and magnitude of exposures. We recognize an upside potential for both portfolios in Denmark, which we will seek with targeted measures, as Geir mentioned. The Pension segment reported a lower pre-tax result, mainly due to the negative development in the insurance service result. I will revert on this in a moment. The net result from our investment portfolios amounted to NOK441 million in the quarter. We see good progress in our mobility services, driving the improvement in the other items line this quarter. The result from our Baltic business is recorded as discontinued operations, pending regulatory approval for the sale. The result reflects higher insurance revenue and lower loss and cost ratios. We expect to close the transaction at the latest in the beginning of next year. Turning over to Page 10. Our strong growth continued in the first quarter, with insurance revenues increasing by more than 10%. This was mainly driven by price increases and continued high customer retention. Within Private, we saw particularly high growth in Norway, reflecting mainly price increases in the main product lines, but also some increases in volumes of Motor, Property, Travel, and Accident and Health Insurance. The increase in the Danish Private portfolio was due to price increases for all main products and high volumes for Motor, Accident and Health, and Property Insurance. Growth in Commercial was driven by both Norway and Denmark. In Norway, the growth was driven by price increases for all products and solid renewals. Growth for some products within Accident Insurance was muted due to improved risk selection and a consistent prioritization of profitability over growth. Gjensidige continues to maintain strong competitiveness in the SME market, but has experienced a slight increase in churn among larger, less profitable customers this quarter. In Denmark, the growth was driven by price increases for all main products and higher volumes for Property, Accident and Health, and Liability Insurance. The insurance revenue in Sweden decreased when measured in local currency. This was due to termination of a partner agreement. Adjusted for this, insurance revenue increased, driven by Payment Protection and Health Insurance in the Private portfolio due to pricing measures. Higher volumes for Motor and price increases for Health Insurance in the Commercial portfolio also contributed to the growth. Turning over to Page 11, the Group’s loss ratio improved by 4.5 percentage points. Reflecting an improvement in the underlying frequency loss ratio, higher runoff gains and a positive impact from the change in risk adjustment. Higher large losses and a lower discounting effect contributed negatively. The weather this year was more favorable than last year. The first quarter results last year were in addition negatively impacted by provisions related to the court ruling on pricing in Denmark involving one of our pairs. Although underhand, we saw an adverse development in claims occurring in the first quarter, but recognized only in the second quarter accounts of last year. Adjusting for these effects provides a clearer view of our profitability trends. Based on this, the loss ratio was broadly stable, while the underlying frequency loss ratio decreased by 3.7 percentage points. The improvement was primarily driven by Norwegian Commercial and Private portfolios. Our Swedish operations also showed improved underlying profitability. We are strongly dedicated to continuing the implementation of pricing measures and enhancing operational efficiency to further improve profitability. Bear in mind that the implemented pricing measures take time to get fully reflected in the accounts and that quarterly volatility in claims frequency and severity will impact results. Let’s turn to Page 12. We managed to bring the Group’s cost ratio further down to 12.0%. Commercial and Private in Norway drove the improvement of 0.8 percentage points this quarter, thanks to higher insurance revenue. We recognize substantial potential in enhancing our cost ratios in Denmark. Our commitment to operational efficiency remains strong. Over to Slide 13 for comments on our Pension operations. Our Pension business delivered a pre-tax profit of NOK77 million this quarter or NOK105 million adjusted for the change in the contractual service margin. The results were lower than the same quarter last year, mainly driven by lower profitability for occupational pension and adjustments related to reinsurance contracts. Net finance income came to NOK90 million, reflecting an increase in interest rates during the quarter. Our Unit Linked business continues to grow. The number of occupational pension members rose by around 2,500 at year-end to over 319,000 members this quarter, and assets under management rose by around 1% to NOK87.8 billion. Although both administration fees and management income increased, the result from the Unit Linked business was slightly lower year-on-year due to increased expenses driven by higher activity levels. Moving on to the investment portfolio on Page 14. The first quarter of this year saw significant fluctuations in the capital markets, driven by uncertainty stemming from ongoing trade distributes and the imposition of new tariffs, which heightened investor caution and market volatility. Our investment portfolio generated positive returns for all asset classes, except listed equities. The matched portfolio, net of earned winding and the impact of changes in financial assumptions, returned around 40 basis points, mainly reflecting stable credit spreads and the fact that the investments did not fully match the accounting-based technical provisions. The free portfolio returned 110 basis points, reflecting positive returns from high running yields, stable credit spreads, and positive returns from real estate. The risk in our free portfolio was already low entering the quarter, but was further reduced during the quarter. The global macro outlook remains uncertain, with continued volatility expected in the capital markets. And despite the significant market turmoil in April, we have seen very limited impacts on our investment portfolio. We are well positioned to withstand any further common turbulence in the markets. Our investment portfolios are balanced and comprise solid, fixed income investments, the majority of which hold an investment grade rating. A few words on the latest development of our operational targets on Slide 15. The customer satisfaction score is measured annually in the fourth quarter. The score was slightly down compared with the fourth quarter of 2023, reflecting a lower score mainly in Private Norway. We will continue to identify measures and take steps to maintain a strong customer offering and high customer satisfaction. As Geir mentioned, retention in Norway remained high and stable. Retention outside Norway, adjusted for the previously mentioned termination of a partner agreement in Sweden, was broadly stable this quarter. The improvement in the digital distribution index this quarter reflects an increase in digital sales and digital service. Distribution efficiency is progressing well as a result of improvement initiatives in Norway and Denmark, including the transfer of best practice between the countries. Improved digital customer solutions enhanced implementation of the new core IT system in Denmark, as well as organizational adaptions are among the key drivers for the improvement. Digital claims reporting increased during the quarter, driven by Norway, Denmark and Sweden. Automated claims also increased in the quarter. Over to Page 16. We had a solvency ratio of 188% this quarter, up 3 percentage points from the end of the year. Adjusted for the acquisition of Buysure earlier this month, the solvency margin was 184%. Solvency to operating earnings and returns from the free portfolio contributed positively to legible loan funds, while the formulaic dividend reduces loan funds. The capital requirement is stable this quarter, reflecting the impact from growth offset by changes in technical provisions and currency rates. The approved version of our internal model differs from our own model. The differences lie in the calibration of certain parameters in the model. We sent an application to the Norwegian FSA on the correlation between underwriting risk and market risk earlier this year. We will continue to have a dialogue on the remaining differences between our own and the approved model. If all differences were approved, the capital requirement would be reduced by NOK1.6 billion. And I’ll now hand the word back to Geir.
Geir Holmgren: Thank you, Jostein. To sum up, on Page 17. We are very pleased with a strong performance this quarter and we remain dedicated to implementing the necessary measures to achieve even better results going forward. Our robust capital position, combined with our conservative investment strategy, should help us navigate the current turbulence. And with that, we will now open the Q&A sessions of this presentation. Thank you.
Operator: [Operator Instructions] Thank you. We will now take our first question from David Barma of Bank of America. Your line is open. Please go ahead.
David Barma: Good morning. Thanks for taking my question. Firstly, I wanted to ask about your -- the performance in Private lines in Norway, please. Could you come back on the quarterly deterioration and the underlying loss ratio in that segment? Is there anything particular in there or is it just the typical Q1 seasonality that we’re seeing? And also, if you can touch on the prior year releases in the period, which were particularly low. I’ll start with this and then I just have a second question.
Geir Holmgren: If you look at underlying development in the Private Norway, as I believe your question was related to David, it’s an improvement in the underlying frequency loss ratio of 2.3 percentage points when adjusted for weather effects and prior years in them or adverse development on the losses in 2024. So there is an improvement, which we’re quite satisfied with there in the Private segment and it’s driven by the before-mentioned price increases on the main products, as well as a flattening out of the claims frequency development within Motor, and an inflation level, which is in line with what we have said for a couple of quarters now.
Jostein Amdal: On the Private…
David Barma: I’m just thinking compared to the last few quarters, is it just a bit of weather frequency in Q1 that’s driving the uptake, not compared to Q1 last year, but compared to the rest of 2024?
Geir Holmgren: It’s generally best to compare the same quarter with the -- same with the quarter previous year, due to the seasonality in Scandinavia, on especially weather-related losses, not necessarily big events, but it’s more difficult driving in the fourth quarter and third quarter, typically, than in the second quarter and third quarter. So I prefer to keep that comparison in mind. If you look at the ongoing effect that we talked about, especially in Private, Property and Motor, when these pricing measures are now starting to also be earned in the accounts, that lies behind the improvement that we see in the underlying development.
David Barma: Got it. Thank you. Can I ask a second question, please, on Denmark, and is there any comments that you could share on the competition authority inquiry into different pricing practices for existing and new customers and on indexation? Thank you.
Jostein Amdal: Yeah. I’ll just start on that. Our view on the competition level in Denmark, we -- our starting point is that there’s a high level of competition in Denmark in the Private segment. We see that there is a high focus on value proposition on pricing and so on. So, but looking at the report from the competition and consumer authority, we tend to expect that we will start an investigation the next upcoming years. We have, if we look at our own books and our own pricing metrodics and so on, we are not -- we don’t have any concerns about the way we have handled this over the past years. So we are meeting such an investigation with being transparent and explaining what we have done. And yes, and we don’t -- are not worried about weak competition in the Danish market at all. So we don’t meet the kind of argument that we hear from this authority regarding this report.
David Barma: Thank you.
Operator: Thank you. We will now move on to our next question from Ulrik Zürcher of Nordea. Your line is open. Please go ahead.
Ulrik Zürcher: Yeah. Thank you for taking my questions. Just on Private Norway, because the earned premiums is up 10% plus year-on-year. And one year ago, you guided on just like roughly 10% growth in in 2024 and now it seems like you basically have doubled this, not fully, but it seems you almost doubled what you say you’re doing. So does that mean on the flat retention ratios that the Private premiums in Norway next year might approach almost a 20% growth rate?
Jostein Amdal: We are not guiding on the growth rate for Private Norway. But as you can see, when we comment on what we’re doing within Property and within Motor, we see that within Property, the average premium and that’s premium in force has for properties has increased by, on average by, yeah, almost 13% and the price increases we are having in the market at the moment is slightly above 17%. And for Motor, the numbers are like 70% increase in average premium and above 90% for the price increases we have in the market today. So -- and Motor and Property for Private is the two core and main products.
Ulrik Zürcher: Yeah. And this will take is typical cycle here that when you start in April, now you lift it a little bit that will go through. Like obviously, you can change based on stuff that’s happening. But basically, that will then go through it takes 12 months to 18 months to get it through to the P&L?
Jostein Amdal: Yeah. That’s right for new price increases. But it’s also a good indication on what’s average premium, which is already premium paid by the customers already. And what’s very satisfactory is that retention rates are still high, even though we have those price increases.
Ulrik Zürcher: Yeah. And also on Denmark, because I just on the trailing 12 month underwriting result in Denmark, now you need to lift that 50% to reach your target in 2026 of over DKK100 -- DKK750 million. Is it possible to reach that target now in Denmark, like in one year?
Jostein Amdal: I think there is a need to distinguish between Private and Commercial because the stories are somewhat different in Commercial. We have -- there is this -- there is quarterly volatility as we talked about many times before, and the performance this quarter was slightly under par maybe but for looking at it this with a premium increase in Commercial Denmark in local currency of adjusted for leap year effects 8.5%. And then a reduction, the underlying frequency loss ratio was percentage points weaker now when adjusted for weather effects, but that was still a clear improvement from the previous quarter. So the trajectories is actually still good for Commercial. Whereas in the private, as Geir mentioned the previous question, there is a number of things that need to be done. But we have the positive signs here that we are doing quite well on the topline growth there. And then the full pricing effects and the efficiency measures we are taking will get true to the P&L accounts. This will contribute to the DKK750 million target in 2026 and it’s still one year and three quarters to go. So that is still a financial target for Denmark.
Ulrik Zürcher: Okay. So we shouldn’t see it. If you lift up a little bit, that is -- that this bit of a bad momentum in Denmark, it won’t interfere with your Group combined ratio target, do you think or?
Jostein Amdal: No. Definitely not.
Ulrik Zürcher: Okay. Thank you.
Operator: Thank you. We will now move on to our next question from Hans Rettedal of Danske Bank. Your line is open. Please go ahead.
Hans Rettedal: Good morning. Thanks for taking my question. So I just wanted to go back to an earlier question on the development in the underlying frequency loss ratio in Norway, which is sort of on a reported basis down 5% year-on-year, which is good to see. But then in Q4, i.e. last quarter, it was down 10% year-on-year. So I’m trying to understand how we should think about that delta, specifically then how much of the Q4 decline was driven by the synergy realization that you spoke about earlier in the quarter, where you had an update. And if you say that the frequencies are stable in Q1, should we then interpret it as sort of severity being higher than in Q4?
Geir Holmgren: We need to distinguish between changes in the change -- in the cleansed frequency and the changes in underlying frequency loss ratio. There -- it’s absolutely correct that the improvement in underlying frequency loss ratio as reported was much higher in Q4. But as we mentioned in the Q4 presentation, Q4 2023, which was the basis for the Q4 2024 improvement, was particularly weak, driven by adverse loss development, weather and then just volatility, if you remember back to the presentation we had at that time. So the -- if you kind of strip out that, we think there is an improvement in Q1 2025, which is more or less exactly as we had planned it and we’re actually quite satisfied with the development there. The price increases in the main product lines go through, claims inflation are more or less as expected within the interval we’ve given you. And then the frequency in the largest product, Motor, is kind of leveling off, if you look at the numbers we reported here. So I think that is quite satisfactory.
Hans Rettedal: And maybe just on the synergies, where you announced sort of NOK800 million in claims synergies taken out during the second half of last year, could you kind of quantify the effect of that?
Geir Holmgren: Do you have that number, Mitra, updated on that one? It’s been two more months I’ve gone since the webinar. So it’s higher, but I don’t have the exact number here at the moment. Sorry, Hans, you might get back on that one. I’ll see.
Hans Rettedal: Yeah.
Geir Holmgren: It’s -- this is…
Hans Rettedal: Okay. thank you very much.
Geir Holmgren: The measures are still running, and of course, we are still improving, getting higher effects from that claims program. I don’t have the exact number.
Hans Rettedal: Okay. Thank you.
Operator: Thank you. And we will now move on to our next question from Youdish Chicooree of Autonomous Research. Your line is open. Please go ahead.
Youdish Chicooree: Hello. Good morning, everyone. So I’ll start with two questions, please. The first one is just on your pricing in Norway across Motor and Property. I mean, your Protection has been very stable despite quite high price increases. Are you -- and you’re still planning to actually step it up this year. Are you seeing any changes in competitor pricing behavior that might start to affect retention? That’s my first question. And then secondly, regarding Denmark, I think you spent quite a few years trying to improve profitability by a number of measures, including price increases. And does the investigation by -- the potential investigation by the Danish authorities actually affect what you’re planning in terms of price increases? Thank you.
Jostein Amdal: Okay. Starting with kind of competition or retention levels in Norway, yes, we are very satisfied with keeping the high retention level in Norway, both in Private and in Commercial segment. As mentioned during the presentation, we saw that we had somewhat a little bit higher churn within commercial segment in Norway during the last quarter, and that’s also due to continued high price increases. But the positive thing of that is that we are -- the churn is among less profitable customers, which is helpful for the overall profitability numbers. When it comes to the competition level in Norway, we see that, it’s at the same level as we have seen before. We also see that Frantin as a competitor has announced financial targets last autumn, which is overall kind of helpful when it comes to pricing discipline. And but we haven’t seen any kind of changes when it comes to what our competitors are doing in the market during the last quarter. Regarding Denmark…
Youdish Chicooree: All right. Thank you.
Jostein Amdal: Regarding Denmark, we are not satisfied with the profitability within Private Denmark, as mentioned. We are doing a lot when it comes to improving profitability, including price increases, claims handling processes and procurement agreements and cost efficiency in general. We will continue to do that. We don’t see any kind of obstacles or challenges regarding the report from the Competition and Consumer Authority regarding doing the necessary and right things to do on the pricing level. It just -- we just have in mind that we have to give up -- give the customers a notice in advance before we do the price increases and that’s how we do the business.
Youdish Chicooree: Great. Okay. Thank you very much.
Operator: Thank you. And we’ll now take our next question from Håkon Astrup of DNB Market. Your line is open. Please go ahead.
Håkon Astrup: Good morning. Thanks for taking the questions. Two from me as well. The first one on regulation and I appreciate your comment on the report from the Danish Competition Authority. Can you update us on your dialogue with the Norwegian regulator on the topic of ethical pricing and price walking? Do you see any risk of meaningful changes to the practices in Norway? And just a quick second question on your -- the application that you sent to the FSA regarding approval of your internal model of correlation between underwriting risk and market risk. According to your internal model, how much is the uplift there compared to the standard model in terms of solvency percentage points? Thank you.
Jostein Amdal: Okay. Yeah. Starting with the last one. Yes. We have a dialogue with the FSA. We don’t give any kind of comments regarding the progress of the process, but as we saw with the last process, it was within the timeframe as expected and that’s the situation we have today as well with the last model we like to have approved is that we expect it to be approved within a timeframe. So, we have a good dialogue with FSA. What we tell on the impact on the capital requirement is that, if you get everything in our fully internal model approved, it should give a reduced capital requirement on approximate NOK1.6 billion and that’s the total. So, we have one application regarding one module included in that number. Yeah. And the first one was about?
Geir Holmgren: Ethical pricing in Norway.
Jostein Amdal: Ethical pricing in Norway. There are no surveys conducted by the FSA in Norway regarding that topic. We have surveys conducted in Sweden. We see that investigation probably start in Denmark as well, but we are doing everything we can on being -- doing the -- having the right mechanism and avoiding price walking which is not legal and so on. So, we are not -- we are ready to be transparent and share all information with the FSA if necessary. But as today, we have not got any kind of service or questionnaire from the FSA in Norway.
Håkon Astrup: Perfect. Thank you for your answers.
Operator: Thank you. We will now take our next question from Jan Erik Gjerland of ABG. Your line is open. Please go ahead.
Jan Erik Gjerland: Thank you for taking my questions. Firstly, on this large loss, could you shed some more light into if it’s a structural fire, if it’s a lot of fires or could you shed some more in detail for what has happened or if it’s a structural one, if it’s something you sort of think is randomly or should you place a new risk appetite in that Property market would be interesting to hear about? Then secondly, the M&A interest has been, of course, large in Denmark. What kind of opportunities do you see? And for Sweden, with some jump in the revenue growth there, would you have some more appetite in Sweden for smaller players? Thank you.
Jostein Amdal: Okay. Starting with large losses, yeah, we give as quarterly estimate on the large losses and it will have some volatility from quarter-to-quarter. And now we are more on the kind of negative side. We have higher level of large losses than our estimate for this quarter. And as pointed out in the presentation, it’s especially one large losses, including in that and I won’t share any details on which loss that could be, but it’s a larger one. When it comes to M&A situation, we are -- that’s part of the way we are doing business. We are looking at opportunities targets in the Nordics. It’s still within a non-live business. But as you know, the market is consolidated, so we have to be patient. And it’s -- the main focus, I would say, and emphasize is to have this organic growth and improving profitability and improving efficiency and operational excellence day-by-day. And it’s -- for us, it’s extremely important to maintain focus on that, especially in Private Denmark, where we see that we have to improve the way we are doing both risk selection and improving cost efficiency. So that’s the main core and main focus. Yeah, in Denmark or in Sweden, as you asked about, it’s still a consolidated market in Sweden and you could argue that it could be possible to buy a minor company or P&C portfolio, but we have to assess such kind of acquisition to vote against what kind of operational impact it will have and what kind of benefit it should give actually. So, yes, it’s a more kind of focus we have from over time, but it’s not extremely important for us now to keep the focus on improving the profitability in Denmark.
Jan Erik Gjerland: Do you think it will be less easy to buy portfolios in Denmark or smaller companies because of the authorities report out? And would -- do you think they will be even more strict when it comes to market shares and consolidation among the top players?
Jostein Amdal: The competition and consumer authority in Denmark tends to be more strict than you probably see in Norway. That’s not new. That’s something we have seen in during the last years. So it’s -- what we have seen in the report in this quarter is as expected. Actually, it’s a kind of the view from this authority as we have already expected and so it’s not a big surprise. But in general, the competition authority in Denmark are stricter when it comes to the way of handling potential acquisition than compared to what we see in Norway.
Jan Erik Gjerland: Okay. Thank you.
Operator: Thank you. [Operator Instructions] Thank you. We will now move on to our next question from Thomas Svendsen of SEB. Your line is open. Please go ahead.
Thomas Svendsen: Yes. Good morning. So two questions from me as well. So when we look across all your segments in all your regions, are there any segments where you see less acceptance for your price increases or is it always so that it’s a win-win that the weak clients you want to get rid of is not accepted in price hikes?
Jostein Amdal: In general, Thomas, you see that the retention level in Norway is higher than in Denmark and that’s due to our strong, of course, our strong position in Norway. We have a little bit higher churn in Norway in the Commercial segment this quarter. And that’s the positive thing, as mentioned, is that the churn is among customers with the weaker profitability, and the retention numbers in Sweden and Denmark is a little bit lower than we see in Norway due to our position. So it’s a little bit harder to come through with all the price increases in Denmark. But we have a broad and variety of types of measures to improve your profitability, including claims handling, procurement agreement, cost efficiency and so on. It’s not only about pricing.
Thomas Svendsen: Okay. Thank you. And the second question from me as well. If you look at the underlying claims frequency in Private Norway, it decreased by 2.3 percentage points year-over-year, while -- that was in Norway, while in Denmark, it jumped 4.7% year-on-year. So is it a simple way to explain this huge deviation in the underlying picture?
Geir Holmgren: No. I think we touched upon the, I guess, the focus would be on the one that’s the weak one here, which is Private Denmark in Norway. I think through the two main products that we walked you through on the Property and Motor, we’ve shown why we get these improvements through a combination of price increases mainly, but also there we have an improvement in the underlying cost rates as well. But in Denmark, there is a combination of measures that needs to be taken in terms of increased prices, increased distribution efficiency, improved claims handling, and in general, better operational efficiency. Yeah. So the price increases in Private Denmark have been significantly lower than what we’ve gone through in Private Norway. That’s probably the simplest of all explanations.
Thomas Svendsen: Okay. Thank you for that.
Operator: Thank you. We will now take our next question from the Vinit Malhotra of Mediobanca. Your line is open. Please go ahead.
Vinit Malhotra: Good morning. Thank you. My one question, if I had to choose, would be the, you talked about claims saving program, which you said is not quantified, but somewhat of a similar rising or strong trajectory as of the NOK812 million for full year 2024. And I’m just curious, I mean, that didn’t have a big impact when you just look at the number for a quarter as well. In fact, it was mostly 2H last year. How should we be thinking? I mean, is that, if it is running at a similar run rate, then is some of that going into investment? So that’s why the effect is not very prominent or are you trying to say that there was some effect, but we haven’t quantified that? I mean, it’s curious that it’s quite a big effort and a big program and a big number. So how should we think about that one? And I do have a follow-up on policy, but maybe we stick to one for now and then follow up and make a call. Thank you.
Jostein Amdal: I think that the claims program, although I don’t have the updated number after the claims webinar that we held, is still continuing to delivering, and we have a higher realization of improvements now than we had at the webinar. But I think one of the previous questions is maybe important to get that message through that when you see reduced improvement in the underlying frequency loss ratio this quarter and also every time talking year-on-year comparisons than we had in the fourth quarter of 2024. You need to look at the fourth quarter of 2023, where they had a significant deterioration in the underlying frequency loss ratio. If you remember back to that quarter, we had 12.9 percentage points deterioration in the Q4 2023 report, partly driven by reserve strengthening and adverse weather effects and that you can take out the weather effects because we’ve kind of stripped that out for you. But the other effects haven’t been quantified in the same way, and so the large improvement in the fourth quarter of 2024 compared to the 2025 Q1 is partly due to the weak Q4 2023 number. That is kind of the message I probably didn’t explain well enough on the previous question, but that’s the important message there. So the improvement that we see now in Private Norway is as planned and we’re actually quite satisfied with it.
Vinit Malhotra: Okay. Thank you, Jostein.
Operator: Thank you. And we will now take our next question from Herman Zahl of Pareto Securities. Your line is open. Please go ahead.
Herman Zahl: Hi. Thank you. Good morning. Jostein, so back to the Private Norway development. Since you are accelerating repricings further in the quarter, a bit for public and also a bit, should we interpret that as if you have seen anything in the quarter that has surprised you in any way or is it inflation frequency or something else that makes you think that this is needed or is it just to have some more margin to your profitability targets or I expect that your repricing to achieve the similar profitability quarter-on-quarter? Thank you.
Jostein Amdal: Thank you. First quarter has been, tends to be a more easier quarter when it comes to weather effects and impact. So it’s benign weather, I would say. Nothing that has surprised us in the last quarter and all the pricing measures we are having in place is planned pricing measures, and we have our financial targets for 2025 and 2026 in mind to put us in the best position to achieve that. And I’m very confident about our ability to reach the target both for 2025 and 2026 due to all the measures we have in place.
Herman Zahl: Okay. Thank you. Just since even if you’re just for the end of the last quarter in Private Norway, claims are more than we expect, which of these quarters, Q4 last year or Q1 this year, do you think is the best underlying reflection of the profitability in your Private Norway portfolio for you so in the quarter?
Jostein Amdal: Quite a catchy question, Herman. Did you ask about the runoff losses or the underlying frequency loss ratio?
Herman Zahl: No. So the underlying profitability in your Private Norway portfolio at the moment, which of the quarters, Q4 or Q1, do you think best reflects what you consider the underlying profitability at the moment for a winter quarter?
Jostein Amdal: I mean, I think, we are on an improving path on the underlying frequency loss ratios in Private Norway. If you go back to 2024, we were kind of challenged on the kind of a turning point communication. We have now seen an improvement in the underlying frequency loss ratio the last two quarters. Also, there’s a difference on the total UFLR and the Motor development. If you remember back to Q4, we told you that if you kind of strip away various factors and so on, we saw a slight negative development still in the underlying frequency loss ratio for Motor in the fourth quarter. This quarter, we see that that has flattened out, so then we have a stable development in the underlying frequency loss ratio for Motor, which is the single most important product. Then we showed you the pricing and inflation and frequency numbers on the slide that Geir showed today, which seems -- showed that we have fairly high price increases compared to our expectations around glimpse frequency and severity going forward, which kind of should imply improve loss ratios going forward further as well. So, as I said, neither Q4 or Q1 are the best representation. We are on a path towards an improved result.
Herman Zahl: Okay. Thank you very much, Jostein.
Operator: Thank you. We will now take a follow-up question from Youdish Chicooree of Autonomous Research. Please go ahead.
Youdish Chicooree: Hello. Thank you for taking my follow-up question. I have two questions. I think the first one is just on Motor. You have maintained your expectation on severity inflation. Can you tell us what you are expecting on frequency? I mean, I know you said that in Q1 it was just over 1-point year-on-year, but what is your expectation for the rest of the year? And then secondly, on your asset, your investment mix? I mean, in your opening comments, you talked about increased political uncertainty, market volatility, et cetera. In light of that, are you planning to derisk your portfolio? Thank you.
Jostein Amdal: On the frequency development, we don’t specifically guide on that, but we say that, it’s flattened out, the increase in the frequency. If you try to strip away weather effects and so on, it’s a slight increase in the frequency and I think that would be totally within a normal variation around that frequency going forward. We talked in the Analyst Day back in 2024, I guess, it was. We had Analyst Day focused on Motor and showed that there is a change in the car portfolio in terms of larger, more speedy or higher horsepower cars which has a slight negative development on the claim frequency overall. But this is priced, so it’s not an issue in itself. So although we don’t guide specifically on the frequency development going forward, we say this quarter’s development is totally within the normal. And then on the asset mix, I think the portfolio is fairly conservatively biased at the moment, so it’s no specific plans for any further derisking or -- and we’ll update you when we report on the Q2 numbers.
Youdish Chicooree: All right. Thank you very much.
Operator: Thank you. We’ll now move on to our next follow-up question from Jan Erik Gjerland of ABG. Please go ahead.
Jan Erik Gjerland: Yes. Just going to follow up on the financial question. Could you shed some more light into where you are currently in this quarter so far? Is it a loss? Is it a gain? Is it mixed? Or is it a flat from Q1? And secondly, just could you please explain what premiums in force? This is more technical. Is it earned premiums? Is it gross premiums? Or is it the portfolio premiums which you have at the current levels? Thank you.
Jostein Amdal: I think the comment we made around the investment result after the end of the quarter is that has no significant -- the market turmoil has had no significant effect on our portfolio. And as you see from the asset mix we give you, it’s a very conservative or relatively conservative asset mix we have, so we’re not significantly impacted by anything that happened after the end of the quarter. On the premiums in force, which means that that is all the premiums, all the policies that are renewed, that are currently in force, but it’s not yet earned in the accounts. So if you have a policy that renewed yesterday, it will be within the policy in force. It will take 12 months to earn that policy through to the P&L.
Jan Erik Gjerland: Okay. So my last follow up on the all gross written premium thinking or something like that, is that how we should think about it?
Jostein Amdal: Similar, but not quite the same. That’s fine.
Jan Erik Gjerland: Okay.
Jostein Amdal: Yeah.
Jan Erik Gjerland: Okay. I’m still confused on the higher level. Thank you.
Operator: Thank you. And we’ll now take our next follow-up question from Vinit Malhotra of Mediobanca. Please go ahead.
Vinit Malhotra: Yeah. Hi. Thanks for the opportunity. Just a question on the solvency. We anticipate discussions on other topics as well, not just this correlation, I understand. And you mentioned NOK1.6 billion lower SCR on all the topics. Are you in a position to roughly indicate how much of that is from the ongoing discorrelation topic?
Jostein Amdal: We haven’t disclosed and we won’t disclose that minute. It’s a -- yeah, as I said…
Vinit Malhotra: But the…
Jostein Amdal: I would just add, it’s…
Vinit Malhotra: Little bit.
Jostein Amdal: If I may add and the windstorm model that we got approved last time was NOK1.3 million. This is smaller than that.
Vinit Malhotra: All right. Okay. Thank you very much.
Operator: Thank you. There are no further questions in queue. I will now hand it back to Mitra for closing remarks. Thank you.
Mitra Negård: Thank you, Operator. And thank you, everyone, for your very good questions once again. We will be participating in roadshow meetings and a conference this quarter, starting with Oslo today. Please see our financial calendar on our website for more details. And with that, thank you for your attention and have a nice day.